Operator: Welcome to the Axfood Q4 2023 Report Presentation. [Operator Instructions] Now I will hand the conference over to speakers, CEO, Klas Balkow; and CFO, Anders Lexmon. Please go ahead.
Klas Balkow: Thank you and good morning everyone and thank you for joining today's call. Now as you can see on the headline, we are continuing to take market share in this exceptional time and as you've heard with me today I have our CFO, Anders Lexmon and together we will go through this in more detail and present to you Axfood’s year-end report for 2023. In the investors section on the website, you will find the presentation material for today's call and the recording will also be made available after the presentation. So with that, I would like to get started and please turn to page #2 and here you'll find today's agenda, first, a brief market overview and then I will give you a review of our fourth quarterperformance and after that Anders will take you through the financials and following Anders' part, I will talk about the progress we are making with some of our strategic initiatives and investments for the future and also I will cover the outlook for 2024 and that we are presenting today as well as the board's dividend proposal before we open up for the Q and A session. So we are now on page #3, but let's get straight into page number #4, and there we will take a look at the development during the final quarter of this year. First of all, market growth amounted to 6% during the fourth quarter. This was the same level as the food price inflation, which continued to decline on a sequential basis. In other words, market growth held up quite well and actually, if you look at the end of the quarter, we saw volume growth for the first time in 2 years. While it's positive that volumes are growing again, we expect the market dynamics to continue to be impacted price consciousness. Let's go to next slide #5, and then Axfood's retail sales grew 9% in the fourth quarter, which was significantly higher than the market. This performance should be seen in the light of significantly higher comparison figures for Axfood than the overall market. I therefore think it is meaningful to also analyze our figures on a 2-year stack, where our growth amounted to a full 28%, doubling the rate of the market, which was 14%.Please go to next page #6, and in e-commerce, our sales increased slightly more than 8%. Market growth turned positive for the first time in more than 2 years, but obviously we once again outperformed. Our share of consumer sales from E-com was slightly more than 5%, 1 percentage point higher than the penetration of the market. On a 2-year stack, Axfood’s growth was 4%, also that's better than the market. And if you go to page #7, we have also included a slide on that shows our 10 years performance in terms of market share gains over the last years, but let's go now into page #8, our consolidated net sales for Axfood grew by just over 5% during the fourth quarter. Strong sales performance in Axfood's concept drove the overall growth. Dagab sales to external customers however came in softer, which clearly held back the overall net sales growth. With the growth in the Q4 and consistently high growth over the course of the year, we actually passed SEK 80 billion in net sales for full year for the first time ever. Please go to next page, page #9. In total, group operating profit amounted to SEK744 million and the operating margin was 3.6%, substantially increased versus year ago, but this development was largely due to easy comps with higher cost affecting comparability in the prior year period. Thee Adjusted operating profits which exclude items affecting comparability amounted to SEK850 million. This increase was mainly the result of strong growth and effective cost control, but higher rental levels and salary increases, however, had a negative impact on profit and the adjusted operating margin was 3.9%. And if I then go into our various segments, and I would like you to turn to page #10 and Willys and I really want to emphasize Willys' unique concept in the market. In the fourth quarter, Willys once again gained market share through robust volume development and the loyalty of existing customers remains strong. Our share of sales from campaigns was still high. However, compared to prior year, it was actually slightly lower.In all, total like-for-like growth in the segment amounted to 9% and 7%, respectively. Willys’ market share in the fourth quarter was approximately 15%, which compared to 13% 2 years ago. I think this is clearly a very strong development. However, we see continued great potential for Willys to take more shares both in stores and online. Operating profit increased 10% amounted to SEK469 million corresponding to an unchanged operating margin of 4.1%. The strong growth in like-for-like sales and effective cost control compensated for the cost associated with our higher rental levels and salary increases. With that, please go to page 11 and look into Hemköp segment. Hemköp continued to strengthen its position in the traditional food segment and once again succeeded in outperforming market growth. For several years, Hemköp has worked now to consolidate its position with a high rate of store modernization, investment in price value and important progress in the area of sustainability. This has created the right condition is now helping to further boost Hemköp’s impressive performance creating a solid base. Net sales increased 10% total and like-for-like retail sales growth was 8% and 7% respectively. Stores within Hemköp banner performed better than the Tempo stores. Similar to other countryside and smaller store formats in the market, Tempo is facing some challenges due to consumers' preference for price value over convenience. Our operating profit amounted to SEK77 million and the operating margin was 3.9%. Positive effects from the growth and effective cost control were offset by negative SEKs from higher rental and salary levels. Now let's move on to Snabbgross page 12. Snabbgross’ market has shown a gradual deterioration during the year and many cafes and restaurants are facing some challenges. Snabbgross has, however, delivered a stable performance with higher sales and profit flexibility and ability to adopt its offering. Sales during the quarter increased 6% in total and 5% on a like-for-like basis, an increase in the number of customers and sales to consumers through member base, Snabbgross club contributed to this growth. Our operating profit amounted to SEK58 million corresponding to an operating margin of 4.6%. The increase in profit was primarily driven by the growth in like-for-like sales and effective cost control, however, negatively impacted by again higher staff and rent levels. Next page, #13. Net sales for Dagab increased 4% in the quarter and as I mentioned before, strong growth in sales to Axfood's own concept was somewhat offset by soft sales development to external customers, including smaller store formats and the service trade. Reporting operating profit amounted to SEK248 million. This year, we had SEK million of costs related to our logistical restructuring compared to SEK186 million last year and also last year we had SEK46 million integration costs for the Bergendahls Food acquisition. The adjusted operating profit amounted to SEK 390 million and the adjusted operating margin was 1.7%. The increase in profit was primarily due to growth, synergy effects on Bergendahls Food and more neutral currency effects with the strengthening of the Swedish krona. Let's now turn to page #14, and it's time for me to hand over to Anders to walk you through the financial development. So please go to next page #15 and Anders, please go ahead.
Anders Lexmon: Thank you very much, Klas. For the full year, net sales for the group increased with 10% to SEK 81 billion, retail sales increased by 14.3%, which was clearly higher than the food retail market in total, where growth amounted to 7.5%. We also for the full year at the lower growth for Dagab’s external customers, the operating profit excluding items affecting comparability of minus SEK 249 million increased by SEK 373 million to SEK 3.6 billion. The increase was mainly explained by the strong growth and effective cost control, partly offset by lower gross margins in the segments and increased costs related to, for example, rental levels and personnel costs. The operating margin, excluding items affecting comparability, was unchanged at 4.4%. Items affecting comparability pertained entirely to parallel warehouse operation during the transition to the new logistic center in Bålsta and last - last year, items affecting comparability included a capital gain of SEK 221 million for the divestment of Mat.se and structural costs of SEK 263 million connected to the restructuring of Dagab’s logistic operations. Then turn to page #16. For the full year, the cash flow compared with last year was SEK 304 million higher to relatively weak cash flow from operating activities in Q1 due to negative net working capital was compensated in the second and fourth quarters by strong underlying operational performance. The cash flow from investment activities Of SEK2.2 billion was significantly less than last year as we now have a lower pace in automation investments. Investment in our retail operation and joint group functions was in line with last year. At the end of the fourth quarter, we utilized approximately SEK 0.5 billion of our credit facilities, SEK 0.3 billion more than in Q4 last year and then turn to page #17. If you then look at the financial position, the net debt has decreased compared to previous quarters due to lower utilization on the credit facilities. This was also reflected in the lower net debt ratio, which amounted to 0 at year end. The equity ratio at year end has been very stable over the last couple of years, and the equity ratio in Q4 amounted to 23.9%, well above our target of 20%. And total investments, excluding leasehold for the year was SEK 647 million lower compared to last year and again, we see now a lower pace in investments related to logistics center in Bålsta. We have established 12 new groups owned on stores during 2023, which was 3 more than last year, and we will get back to the investment outlook for 2024 later in this presentation. And then let's turn to page #18. Looking at the capital efficiency, we have a positive development net working capital in absolute terms. However, in relation to sales, we saw a negative trend during the year due to the higher inventory levels related to the ongoing warehouse transition. The ratio is now minus 3.2. A reversal of this effect is expected gradually in the coming quarters as the warehouse transition progresses. The capital employed has increased over the last years, mainly due to the recognition of leasehold debts in Bålsta and Landskrona and higher expenditures, which have had the diluting effect on the return on capital employed. However, the return on capital employed is now quite a little bit more than 20% looking back at recent quarters. That ends my part of the presentation Klas, and I hand over to you again.
Klas Balkow: Thank you, Anders. And we are now on page 19, but let's go directly into page 20. Now 2023 was an eventful year, a year with continued strong operational development and also progress with our initiatives and investments for the future. So I would like to highlight a couple of areas where we made major strides during the year. Let's go to Page #21. First of all, something that has been pretty well covered already during this presentation, growth. In 2023, we had a very strong momentum in terms of sales with volume growth and large inflow of new customers to our stores. We saw a very strong demand for our concepts and that is why we have been expanding our presence at a rapid rate throughout the country with new stores. In all, During the year, we established 9 group owned Willys stores, 2 Hemköp stores and one new Snabbgross store. Let's turn to page #22. Digitalization, AI and automation are rapidly evolving areas and are also crucial for creating a high level of efficiency and Strong customer offerings. We have developed our business considerably over the years and our digital transformation is continuing. In all areas, we have continued to develop a data driven approach. In 2023, for example, we implemented a new system for campaign and assortment planning and in 2024, we are upgrading our back office system in order to simplify and streamline processes for our store employees. Logistics is of course also a big part of this. The implementation and ramp up of our new highly automated logistical center in Bålsta, outside Stockholm, was ongoing through 2023 and in 2024 the facility will be completed. In addition, the automation solution at our new fruit and vegetable warehouse in Landskrona was recently put into operation and we are adding more capacity with our new high-bay warehouse Gothenburg and our combined logistical investments will result in significant efficiency improvements and cost savings starting in the second half of this year. And lastly, a couple of initiatives within the sustainability on page 23. And here our ambition is really to be at the forefront and to take the lead in promoting a sustainable food system. In particular, we are continuing to offer our customers a sustainable and healthy assortment of products in our stores and to guide them towards sustainable and healthy choices, but this is in a time when consumers have reprioritizing their purchasing decision due to the high inflation and to a lesser extent have been focusing on these matters. But I also would like to mention our new extensive solar power initiatives, including a large rooftop installation at our warehouse in Bålsta and Landskrona and the construction of Sweden's largest onshore solar park in Hallstavik and lastly, just recently, to further reduce our greenhouse gas emission, we're initiated to accelerate the phase out of fossil fuels by switching to using only renewable fuels in both our own and procured transports. With that, go to next page 24 and let's turn to the outlook for 2024, which we are issuing today. Investments are expected to SEK 1.6 billion to SEK1.7 billion excluding acquisitions and right of use assets. The largest part of this is related to recurring investments in our operations, but it also covers expansion and however, SEK 300 million of the total amount is related to automation in our new logistical structure and in terms of our presence, we will maintain a high pace of expansion with the aim to adding 10 to 15 new stores to our store base, The majority of which will be Willys stores, so that even more customers can benefit from our concept. Moving on then to dividend for 2023 on page 25. Axfood has a strong financial position and the Board of Directors will propose to the Annual General Meeting an increased dividend of SEK 850 per store. The dividend will be split into 2 payments, SEK4.25 per share in March and SEK4.25 per share in September. The dividend proposal corresponds to 78% of profit after tax well in line with our dividend policy. Now let's turn to the final page of this presentation, Page 26. At an exceptional time of historically high inflation and change in consumer behavior, we are closing the books on a successful year in which we strengthened our market position and took major step to strengthening our competitiveness in the long term. We are entering the new year with an even stronger position, which will provide us with favorable conditions to continue to attract new customers and strengthening the loyalty of our existing customers and to become even more efficient in our underlying operation as our new logistical initiatives will put into full use. And with that, please turn to page 27, and I would like to hand over to the operator to open up the line for questions. Thank you.
Operator: [Operator Instructions]. The next question comes from Fredrik Ivarsson from ABG Sundal Collier. Please go ahead.
Fredrik Ivarsson: Good morning, guys. Well done. I have got 3 questions. I will take them one by one. So first one on Willys margin. So I guess you've been talking about gross margin pressure for quite some time now, and you mentioned it today in the report as well, even though the margin was stable in Willys. So The question is when do you see this gross margin pressure sort of turning and maybe even turn positive given that we've seen positive CPI, PPI gap for quite some time. That's the first question.
Klas Balkow: Yes. Good morning, Fredrik. Well, I think first of all, if you look at the from the supplier side and how that works, there is currently a lower cost pressure from the suppliers, which we think is positive. However, as you're all aware, there are many things that is now affecting our structure, and we are still at higher levels versus before the inflation, started. There is climate impact, there also, overall the whole market has cost inflation into the system. So I have to say it's difficult to predict. What we have seen in terms of the market currently, we've seen a slightly lower campaign effects, which obviously has a positive sign in terms of margins. But on the other hand, we are still on a significant lower margin, so we have not been able to compensate for the cost pressure from the supplier as extent on that. And then, of course, it's a very competitive market, So, we'll see how it goes.
Fredrik Ivarsson: Okay. Thanks. And then on the store openings, if you can just remind us, I guess we talked about it on the capital market, if you can remind us if you have any plant closures or is that 10 to 15 is more or less a net figure?
Anders Lexmon: There are no planned closures. So in that perspective, it's a net figure. Then obviously, there's nothing that we are aware of today at least.
Fredrik Ivarsson: Okay, great. And last question on 2024 cash flow and the working capital. We talked about, I think, a SEK 200-300 million cash flow or working capital release, as you close down the overlapping warehouses, is that figure still relevant?
Klas Balkow: Yes. I think it's very relevant to assume that.
Fredrik Ivarsson: Okay. Perfect. That's all my questions.
Operator: The next question comes from Niklas Ekman from Carnegie. Please go ahead.
Niklas Ekman: Thank you. Yes, a couple of questions from my end. Coming back to the margin discussion here and maybe not for Willys, but for the groups. You've had two years now with a stable or declining margin and this is the Q1 where we see a clear year-over-year increase. Can you elaborate a little bit on the factors behind this? So price has now started to finally catch up with costs and is this something you think could continue? Or are there more one-off factors that are boosting the profitability in Q4 here?
Klas Balkow: Well, obviously, as you look at the one offs and I think you've seen that clearly. So they but I don't think that's what you're related to.
Niklas Ekman: No. No. The underlying.
Klas Balkow: Yeah. I understand that. So, and then, you know, we as you're all aware when you get positive like for like and you get that dynamics and now as you've seen and heard that we are not seeing a shrinking gross margin at the same extent that we saw, last year. So obviously, from that base, and if we continue to drive that growth, we can offset the cost that we have in our structure. Willys also have cost structure, as you know, of rent and staff cost as I commented several times in the report. So we continue to work to make sure that we get customers into our stores and we can drive our like for like, that is the way for us to drive it further, unless and to see what happens In the overall market when in terms of price pressure and all of that. It's a clearly competitive market we've seen that the full year and we continue to make sure that we keep our price position in the market which is crucial for us.
Niklas Ekman: Yes, very good. Thank you. And on Hemköp, I'm just curious about the strong momentum of Hemköp in this quarter and in previous quarters. So you point that price value, and that seems to be where ICA and Coop have really been struggling. And they're kind of acting in the same segment or if you talk about the supermarket segment. Why is Hemköp really standing out in this market? And what is to prevent your major peers from doing the same?
Klas Balkow: No, I'm glad you're listing it up. Obviously, I think it's the 5th quarter that we're not only in our view at least assumption we are clearly beating our traditional segment, but because as Hemköp is also beating the overall market growth, including the full low price segment As well. But I think it's been a, you know, we have been very clear in terms of we have worked with our price value, as you know, and we have communicated that for now, a long time even before this started in terms of we have really, some of our other ranges is put into, you know, the best offer in that perspective. But then in addition, I think we've had a journey now, as you're all aware, that we are modernizing our stores, we are upgrading our stores, we are developing the brand. We also and I'm pleased to see that we put a lot of effort in the sustainability progress in Hemköp. They still have the double points when you're buying sustainable products, etc. We still I think we still have the highest share of ecological, organic products in the market in Hemköp. So, hopefully, that we are also getting rewarded for that from our customers. But it's a journey, and we're pleased to see that we are, for the last 5 quarters taking positive steps on that journey.
Niklas Ekman: Very good. Thanks. And turning to Bålsta, a new distribution center. You've started now with refrigeration. Have there been any hiccups along the way here, similar to what we've seen before or just an update on the progress here? Is it following your plans?
Klas Balkow: Yes. Now we are following the plan right now. I think that as we have commented several times and many of you have now seen the facility, it's a large facility. We'll have daily things that we are trimming and that we're working on, but overall, the dry range is now set and we are now rolling out the chilled, and that goes according to plan. We have daily things we need to fix, but there's you know, we are very, you know, in a good place and significantly compared to what you're referring to. So we have nothing like that in the ramp up at all.
Niklas Ekman: And can you update us also on the closure of the warehouses that it will be replacing? How is that progressing and what can we expect? When will you close the last of these 6 fulfillment centers?
Klas Balkow: Well, as you've heard in terms of we are gradually now phasing out, we also start to leave parts of the facility in [Indiscernible]. We have rented out some of that as well. So that will take, you know, gradually over the year. And then you know, and I think we've talked about that, we also have service, we continue to have service trading in, Orebro and we'll not make any other decisions on that yet. We'll see how that is developed because, of course, we see that how we are now ramping we make sure we make a controlled ramp up pace of our business. So we have to come back to you on that part, but that facility runs as a separate with the service tray.
Niklas Ekman: Okay. And any update on one off items in 2024, I think you've indicated the one-off cost of around the SEK 20 million. Is that still valid?
Klas Balkow: Yes.
Niklas Ekman: Very good. Thank you so much for taking my questions.
Operator: The next question comes from Simen Aas DNB Markets.
Simen Aas: Good morning, guys, and congratulations on a very strong finish to the year. Could you just give us an update on your outlook for feed prices in 2024. So now we have seen obviously in 2023 on a sequential basis, prices were basically flat throughout the year, should we expect a return to our normal inflation now, 1% to 2%? Or how do you guys reflect on that? That's my first question?
Klas Balkow: Understand and good morning, Simon. And I think this is kind of the questions I get daily now in terms of how would it look going forward and as I can only comment on what we actually see right now and then it's as you've seen and you looked at the inflation rate is going down, so it's less cost pressure from that perspective. But I have to just say that going forward there are so many areas right now that is affecting the overall food supply chain and the whole, in terms of we have climate concerns that is affecting harvests, I'm sure you follow that, we have some [Indiscernible] - so there are many factors that could impact this and in Sweden also the currency. So, have to be vague on that response in terms of what we're seeing right now, and we are pleased to see that we are not seeing any strong inflation pressure at the moment, but how it will turn out going for the rest of the year, I don't want to give you a forecast on that.
Simen Aas: Okay. I get that. It's hard to predict. But just I know you don't comment on current trading, but have anything changed from what you saw in Q4 now into 2024 in terms of Willys and everything?
Klas Balkow: It's a good question, but I'll follow that up in April when we talk about the first quarter. So I only comment on the fourth right now.
Simen Aas: Yes. Sure, I get that. And then just one final one for me. Last year, especially during the first part of 2023 and all the industry volumes was very, very weak. And given that you guys were growing volumes, I guess that it was ICA and Coop that was the main losers to that. So now that you're sort of entering the first half Fair. And I guess that those guys want to grow volumes to return to restore margins. Should we expect, you know, if volumes are returning now for them. Should that be a healthy sign for the industry as a whole? And could this potentially result in less competition?
Klas Balkow: Yes, but I don't I'm not going to comment the competitors' activities. But I think overall, of course, we've seen as I started to say, we've seen an exceptional time where there's been a lot of price pressure for the power industry, for suppliers, for us but also for households which has put some pressure, of course, in terms of food and therefore, you've seen that reflected as well in the overall market with Negative volume development. I think in any market you are in and I think that as well it's positive that we now start to see in the end of last year, volume is picking up again, and I think that's just a healthy sign.
Simen Aas: Yes. Okay. Thank you guys and that was all my questions.
Operator: The next question comes from Anna Schumacher from BNP Paribas Exane.
Anna Schumacher: Hi and yes, congratulations on the great results. So I have 2 questions, if that's okay. The first one is across all of the banners you talk about, effective cost control. Would you be able to talk further on how you've been able to do this, especially given rental and salary costs have increased.
Klas Balkow: Yeah, of course, it's kind of part of our DNA to be to make sure that we drive as Efficient operation as we possibly can and as I pointed out, it's been an exceptional year with which we have changed in consumer patterns and in terms of differences in campaign, etc. And I think the staff and the store managers and the whole operation has been able to navigate and try to adapt and adjust as good as they can in this environment, and that's what I'm relating to that we're able to handle and to manage an efficient operation, yes, we have higher fixed cost in terms of rental and also some salary cost that goes up and of course, it's up to us to make sure that we can be as efficient as we can. We're also investing a lot, as I pointed out in the end of my presentation, in terms of our IT systems and IT platforms that should support and guide, our store operation and our logistical operations also to be more efficient through data and through digitization and through a data driven approach. So that's how it refers to.
Anna Schumacher: Okay, great. Understood and then my last question is in Q3, you had a chart showing the addition of new Willys Plus members. I was just wondering how that has evolved since?
Klas Balkow: Very healthy. We are positive to see that we are still on a significant higher inflow of new customers in our loyalty program, we have continued to see a higher inflow. So we are pleased to see that, as I also comment on the report, that we've got many new customers coming into both the stores, but also adding up to our loyalty program.
Anna Schumacher: Ok great thank you.
Operator: The next question comes from Gustav Hagéus from SEB.
Gustav Hagéus: Thanks for taking my questions. I was a bit late into the call, so apologies if you already answered these. But two questions, just first one on the margin, is there a notable impact from bonuses or kickbacks from suppliers in terms of volume targets being reached that have been paid out in Q4 affecting your gross margin year-over-year?
Klas Balkow: No, I will not say that, Gustav. That is an ongoing, so no, I won't say that. Okay.
Gustav Hagéus: Perfect. And then secondly, since you have customer data on both Hemköp and Willys and they do represent quite two polar opposites in the market, I guess, have you been able to sort of follow any customers that have migrated from Hemköp to Willys and migrated back, so to speak, in this quarter. Do you see any of those flows going back since Hemköp now outperformed Willy's for the first time in like for like for quite some time?
Klas Balkow: No. I wouldn't say there's nothing significant on when we see that. But I want to comment on what you're saying there is so which is also valid for the market, somewhat also valid for Hemköp when you're comparing Willys percentage. If you look at Willys growth last year, it continued to grow on a very high comp figures, and we have volume growth on a very high comp figures. So, it's not that, and Hemköp had, obviously, somewhat lower comp figures as the rest of the market. so, I don't think you really can make that conclusion.
Gustav Hagéus: Okay. And then final one for me. Online was obviously better than the market. Could you remind us of the margin profile for online versus your traditional stores fully loaded?
Klas Balkow: Margin on online is lower. There's nothing that's dramatically changed on that. So obviously, we are pleased to see that the largest growth, as you know is Willys, and Willys has a very solid model, also transparent in their pricing and, there is a volume that and as you're also aware that we are about to take our steps as well into in the back end of optimizing to improve our margins, but margins is significant in the overall and online.
Gustav Hagéus: Okay. Perfect. Those were all my questions. Thanks.
Operator: The next question comes from Daniel Schmidt from Danske.
Daniel Schmidt: Thank you. Good morning, Klas and Anders. Just I think one question from me coming back to pricing in the market, and I think you said that price campaign intensity has actually eased a little bit. If you look at sort of your biggest competitor, ICA, they continue to indicate that they have closed or gradually closing the price gap between ICA Maxi and Willys and it's gone from basically 5% to 2.5% over the past year. What's your sort of reflection on that? What does your sort of statistics tell you? Where is the price gap and has it moved at all? Or is it standing still? Where are we in that?
Klas Balkow: Good morning, Daniel. Now there is a lot of discussions and a lot of comments from various competitors are doing a lot of activities. For us, we are really focusing on to make sure that we keep our price position in the market and we'll continue to drive that. I think you're mentioning some actors. I'm not sure they have one price. I think they have many prices out there, if I understood right. So for us, it's really that we are driving our agenda. We are making sure that we keep our, work on price position. With that said, it is and I think we said it the full year, it's very competitive market. There's a lot of PR and activities and campaigns out there, and we want to make sure that we continue our steadily positioning to make sure that what we offer to the consumers is, something they can trust. And we see that on various surveys out in the market, how Willys come out very well in the service in terms of price and their position.
Daniel Schmidt: So basically, yours your conclusion is that the gap has not really moved over the past year if you look at your data.
Klas Balkow: No, I'm not going to comment in terms of specific. As I pointed out that there are various players out there. There are various stores out there that is driving their position, etc., and I think that's what basically also relates to, but yes, there is a very competitive position out there.
Daniel Schmidt: Okay. But do you feel that competitiveness is more elevated than a year ago?
Klas Balkow: I think the competitiveness has increased, yes.
Daniel Schmidt: Yes, Okay. Thank you, Klas.
Operator: Thanks. There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Klas Balkow: Well thank you for listening and thank for - for your questions and thanks for today and I wish you a good day. Thank you.